Mike McCann: Good morning. Welcome to our stockholders, analysts, and interested investors. We appreciate you joining us today. Throughout 2024, our focus was creating value for our customers, driving margin expansion, and delivering record profitability for our stockholders by continuing to execute the three pillars of our strategy. Our first pillar is shifting our revenue mix from new construction projects in the general contractor or GCR segment, working directly for building owners and existing facilities in the owner direct or ODR segment. In 2024, approximately 67% of total revenue came from our owner direct segment, contributing 75% of total gross profit dollars. The second pillar is the evolution of our offerings, which expands our capabilities and increases our margins. In 2024, total gross margin increased meaningfully to 27.8% from 23.1% in 2023. Our third pillar is to scale our business through acquisitions.
Mike McCann: In 2024, we completed two strategic acquisitions, which should add approximately $6 million to our adjusted EBITDA in 2025. We maintained a disciplined approach by focusing on six mission-critical market verticals that drive consistent demand across economic cycles. Among these, healthcare has emerged as our largest and most significant vertical, where we play a critical role in ensuring the operational continuity of medical facilities, enabling them to deliver life-saving care. According to the American Hospital Association, the US healthcare market needs hundreds of billions of dollars in capital investment to address its infrastructure deficiencies, workforce challenges, and technological gaps while ensuring readiness for future public health emergencies. Each of our 20 locations prioritizes healthcare services. We are actively expanding our national footprint in this sector. This growth positions us to become a trusted enterprise partner delivering comprehensive solutions across the markets we serve. We have seen recurring revenue develop for these customers as those relationships evolve. One great example is a hospital group in the Philadelphia market, which has over a thousand licensed beds. We have been working at this facility for several years, but last year, we started to double down on the account and had a dedicated on-site account manager. After six months of extreme focus, we built a strong relationship with the facility manager, proactively inspecting areas of the hospital that experienced deferred maintenance. Things finally started to break free after several system failures, and we started to see a much larger transaction volume. Right now, we are in the process of repairing and replacing their entire steam system while the facility is being supported by temporary heating equipment. Our long-term go-to-market approach with customers puts Limbach Holdings, Inc. in a position to capture this revenue and continue cultivating this long-term relationship. Our second largest vertical has become industrial manufacturing. As a result of our strategic acquisitions over the past few years, we partner with facility owners to support their complex systems, in order to ensure the lines and manufacturing processes continue running smoothly in the existing facilities. Our company is well poised to address significant upgrades to systems and facilities from compliance and regulatory standards to the possibility of increased reshoring and nearshoring, to address supply chain resilience. One of our larger customers in the space has multiple facilities in several states. They base their infrastructure program directly around our engineered solutions and equipment lines, which control temperature, humidity, and while filtering and cleansing the air in the environment. They trust our ability to provide installed solutions around our equipment, evidenced by our growing installed base in most of their locations. We collaborate with this customer to resolve their business challenges as a partnership.
Mike McCann: There are other four verticals that continue to see growth opportunities as existing buildings age, in need of either critical repair work or an upgraded building system solution to keep the building's environments at optimal temperature and humidity levels. One of our largest customers traditionally has a $1.5 billion infrastructure budget and is still unable to be as proactive as they need to be in order to avoid equipment failures. To support these systems, we placed an incredible staff of people specializing in mission-critical work within these key facilities, making us an integral team member to the existing building owner. In many cases, particularly due to labor concerns from the owner, we have augmented their staff. As a building system solutions firm, we typically go to market differently than a contractor. We are expanding wallet share with our existing customers within their existing facilities and solving complex problems with engineered solutions. We focus on large-scale customers with multiple facilities by assigning an on-site account manager to learn the building and earn the trust of the customer through day-to-day problem-solving. We assign additional resources to document our customers' building staff, through either a master service agreement or a maintenance contract. Once we have built that relationship, we offer our capital planning services, allowing us to develop a long-term vision for the building and related capital projects. Our objective is to build an entire account team that becomes an indispensable partner to the customer, focusing on future long-term repeatable revenue opportunities. This is an important differentiator for Limbach Holdings, Inc. We are often compared to engineering construction companies. However, while our competition focuses on new construction, we have spent the last five years transitioning our business to working directly with building owners and existing facilities. We are now delivering in-demand repairs and system solutions for their existing facilities. We are building a unique long-term model with durable demand, allowing for shorter sales cycles. In our past GCR model, backlog was critical to our future, as the projects could last up to three years in duration under a fixed-price agreement. Whereas now, we are able to share price increases on materials with our customers. With our ODR focus, we have gone a different direction, building a durable model by collaborating with building owners, providing quick-hit repair type work on a T&M basis along with building system solutions that provide value to our customers and drive higher margin. We continue to evolve and optimize our business mix towards the ODR segment, creating a high-margin sustainable business with repeatable revenue across all cycles. Our M&A strategy is a key part of our growth.
Mike McCann: As I noted earlier, as a result of past acquisitions, industrial and manufacturing has become our second largest vertical. To that end, most recently, we acquired Consolidated Mechanical in December, a leading provider of industrial facility system solutions serving Kentucky, Michigan, and Illinois, expanding our owner direct relationships and footprint. Other than our typical system integration, which is nearly complete, the cultural fit has allowed us to integrate quickly, and we have added focused sales resources that can help expand wallet share with already existing building owners. We believe the breadth of our national resources combined with local relationships will enable us to expand both quality and quantity of their gross profit contribution. For the past three years, we have acquired five companies, and with each acquisition, our process becomes more efficient and repeatable. Our goal is to fully integrate each acquired company into our shared systems and strategies within two to three years of close. Expanding into new geographic areas through these acquisitions helps Limbach Holdings, Inc. grow its footprint and better serve our national customers, many of whom operate in more than ten states. This approach is expected to drive revenue growth, reduce sales costs, and ultimately leverage our SG&A. We have a strong pipeline of acquisition opportunities that meet our criteria of fitting culturally, building a niche, prioritizing building on relationships, and are accretive on a free cash flow basis. Our target is to acquire $8 million to $10 million in adjusted EBITDA per year and apply our scalable value creation process to drive growth and long-term impact. As we continue to execute our strategy, our mix shift should normalize to 80% of owner direct revenue and 20% general contractor revenue. In 2025, we expect our ODR revenue to land between 70% to 80% of total revenue for the full year. Once our mix reaches 80/20, we believe we will begin to generate considerable consolidated revenue growth. Over time, we anticipate our evolved offerings will expand our gross margins to comparable levels of OEMs, that provide similar solutions to those offered by the company, which tend to be in the 35% to 40% range. Looking forward to 2025, we expect organic top-line revenue growth to be in the 10% to 15% range for the full year. When we layer on two acquisitions from 2024, we anticipate total revenue in the range of $610 million to $630 million. For the past few years, as we continued our shift towards ODR revenue, which has seen more seasonality in the business, the first quarter tends to be our softest quarter with the second half of the year being stronger than the first half of the year. Going into 2025, we expect the same seasonality with Q1 2025 being similar to Q1 2024, with an even stronger second half of the year. With our expected revenue growth for 2025 and the continued focus on improving our total gross margin, we expect adjusted EBITDA for 2025 to be in the range of $78 million to $82 million. While 2024 was a very strong year for execution of results, we are still in the early innings of shifting to our three-pillar strategy. There are plenty of growth opportunities ahead, a geographic footprint expansion, gross margin opportunity, both from mix shift and evolving our offerings, and tremendous opportunity for mission-critical owners with aging infrastructure. I would now like to turn the call over to Jayme Brooks for our financial results.
Jayme Brooks: Thank you, Mike. Our Form 10-Ks and earnings press release filed yesterday provides comprehensive details of our financial results. So I will focus on the highlights for the full year and fourth quarter. All comparisons are full year 2024 versus 2023, and fourth quarter 2024 versus fourth quarter of 2023, unless otherwise noted. For the year, we generated total revenue of $518.8 million compared to $516.4 million in 2023. Total revenue growth was nearly flat at 0.5% while ODR revenue grew 31.9% and GCR revenue declined 31.9%. As we said before, the GCR revenue decline is by design. As we execute our mix shift strategy towards ODR. ODR revenue accounted for 66.6% of total revenue for the year, up from 50.7% in 2023. During the quarter, we generated total revenue of $143.7 million versus $142.7 million in 2023. Total revenue growth was nearly flat at 0.7%, while ODR revenue grew 21.4% and GCR revenue declined 24.8%. In the fourth quarter, ODR revenue was 66.5% of total revenue, up from 55.1% in 2023. Our ODR backlog at quarter-end was $225.3 million compared to $147 million at December 31, 2023. GCR backlog was $140 million compared to $186.9 million at December 31, 2023. The increase in ODR backlog and the decrease in GCR backlog are due to our continued focus on accelerating the growth of our high-margin ODR business. Keep in mind that the backlog in the ODR segment does not reflect our complete book of business. Many ODR projects are short-term in nature and can be sold and executed within the quarter. Total gross profit for the year increased 20.9% from $119.3 million to $144.3 million, reflecting our focus on growing our ODR segment. Total gross margin on a consolidated basis for the full year was 27.8%, up from 23.1% in 2023, driven by the combination of higher-margin ODR revenue, higher quality GCR work, and the contribution from our acquisitions. ODR gross profit contributed $107.8 million or 74.7% of the total gross profit dollars. ODR gross profit increased $31.7 million or 41.6% driven by higher revenue and expansion of our ODR gross margins to 31.2% from 29% in 2023. GCR gross profit declined $6.7 million or 15.5% due to our selectivity of higher quality projects, which increased our GCR gross margins to 21.1% from 17% in 2023. Total gross profit for the quarter increased 30.8% from $33.3 million to $43.6 million again reflecting our ongoing emphasis on ODR. Total gross margin on a consolidated basis for the fourth quarter was 30.3% up from 23.3% in 2023, mainly due to the mix of higher-margin ODR revenue, higher quality GCR work, and the impact from our acquisitions. ODR gross profit contributed $30.6 million or 70.2% of the total gross profit dollars. ODR gross profit increased $6.9 million or 29.3% driven by higher revenue and expanded gross margins of 32.1%, versus 30.1% in 2023. GCR gross profit increased $3.3 million or 34.5% driven by our focus on better quality projects and expanding gross margins to 26.9% versus 15% in 2023. For the year, SG&A expense was $97.2 million, an increase of approximately $9.8 million from $87.4 million in 2023. As a percentage of revenue, SG&A expense was 18.7%, up from 16.9% in 2023. The increase was driven primarily by higher payroll and incentive-related expenses and costs incurred due to ACME and industrial air transactions, which were not acquired entities for the full year of 2023. For 2025, we are targeting SG&A expense as a percentage of revenue to be around 18% to 19% as we continue to invest in our ODR business to drive growth. During the quarter, SG&A expense increased to $27.4 million from $25 million in 2023. As a percentage of revenue, SG&A expense was 19.1% up from 17.5% in 2023. The increase was driven by a $2.8 million increase in payroll and incentive-related expenses, offset by a decrease in legal costs. Interest expense for Q4 was $0.5 million and $1.9 million for the year. Interest income for the quarter was $0.5 million and $2.2 million for the year, driven by the company's investment strategy in placing our excess cash in overnight repurchase agreements, US treasury bills, and money market funds. For the year, adjusted EBITDA was $63.7 million, up 36.1% from $46.8 million in 2023. And we exceeded the top end of our 2024 adjusted EBITDA guidance of $60 million to $63 million. Adjusted EBITDA margin for the year was 12.3% compared to 9.1% in 2023. Adjusted EBITDA for the fourth quarter was $20.8 million, up 65.5% from $12.6 million in 2023. Adjusted EBITDA margin for the fourth quarter was 14.5% compared to 8.8%. For the year, net income grew 48.8% to $30.9 million. Dollars and earnings per diluted share grew 46% from $1.76 to $2.57. Adjusted net income grew 48.2% from $29.2 million to $43.2 million and adjusted earnings per diluted share grew 45.2% to $3.60. Net income for the fourth quarter grew 87.5% from $5.2 million to $9.8 million and earnings per diluted share grew 86.4% to $0.82. Adjusted net income grew 70.9% from $8.1 million to $13.8 million and adjusted earnings per diluted share grew 69.1% from $0.68 to $1.15. Turning to cash flow. Our operating cash flow during the fourth quarter was $19.3 million compared to $13.9 million in 2023, representing a 38.7% increase. Operating cash flow for the year was $36.8 million compared to $57.4 million in 2023, representing a 35.9% decrease due to the timing of differences in certain accounts receivable. Free cash flow, defined as cash flow from operating activities, less changes in working capital and capital expenditures, excluding our investment in rental equipment, for the year was $52.3 million compared to $36.7 million in 2023, an increase of 42.6%. The free cash flow conversion of adjusted EBITDA for the year was 82.1% versus 78.4% in 2023. For 2025, we are continuing to target a free cash flow conversion rate of at least 70%. Which again we define as cash flow from operations, minus changes in working capital, minus capital expenditures excluding our investment in rental equipment divided by adjusted EBITDA. We expect CapEx for 2025 to have a run rate of approximately $4 million primarily because of our acceleration of our ODR strategy. This amount excludes an additional investment of $3.5 million in rental equipment in the first half of 2025. Turning to our balance sheet. As of December 31, we had $44.9 million in cash and cash equivalents, and total debt of $27.2 million which includes $10 million borrowed on our revolving credit facility at a hedge rate of 5.72%. Our balance sheet remains strong, and we are well-positioned to support our strategy of generating ODR growth and margin expansion, which we believe will create significant long-term value for our stockholders. In addition, our balance sheet supports our acquisition strategy, by providing the capital to make our opportunistic decisions for growth. That concludes our prepared remarks. I'll now ask the operator to begin Q&A. You may press star two if you would like to remove your question from the queue. One moment please while we poll for questions. Our first question comes from the line of Rob Brown with Lake Street Capital. Please proceed with your question.
Rob Brown: Hi, Mike. Jayme. Good morning. Just wanted to touch on the organic growth you talked about in 2025, around 10% to 15%. Is that the ODR business in particular or is that the overall business in total? And I guess what would be that organic or the RDM? That's the overall...
Mike McCann: Oh, sorry. I'm not hearing you very well. That's the overall top line.
Rob Brown: Okay. Great. And then what's sort of the implied OER organic growth?
Mike McCann: You broke up again. I'm sorry, Rob. Mr. Brown, are you still connected?
Rob Brown: Yeah. Sorry. Can you hear me? I think I lost you.
Mike McCann: Yes. Now I can hear you.
Rob Brown: Okay. Sorry about that. I apologize. Just wanted to know the implied organic growth in the ODRs.
Mike McCann: We're looking at it from the kind of the perspective of both the top line just from a once we do our acquisitions as well as layering that in, it's not necessarily to specifically comment on a percentage growth. I would assume you could see maybe 23% to 46% if you take the top end in the low end of the range that we provided from an adjusted EBITDA and revenue perspective.
Rob Brown: Okay. Good. Thank you. And then on the gross margin comment about kind of getting to OEM level gross margins, wanted to get a sense of what you needed sort of do to get there. Is it a kind of long-term goal or what, you know, additional kind of services would you need to get to that point?
Mike McCann: Yeah, Rob. It's definitely a long-term goal. You know, our margin journey really... there's two pieces to it. Maybe there's more than two pieces, but the first piece has been shifting to the revenue as much the owner direct segment. That's gonna get us a natural lift. The second part of it is building our channel and our connected integrated platform among all of our locations. Acquisitions, of course, will help that. And then being able to offer new evolved offerings through our sales chain, our integrated sales chain. So it's gonna be a combination of both. Gonna be a combination of really getting to that optimal mix, plus from an evolved offerings perspective. And it's very much a long-term perspective on where gross profit could go to.
Rob Brown: Yeah. Great. Thank you. I'll turn it over.
Mike McCann: Thank you.
Operator: Our next question comes from the line of Gerry Sweeney with Roth Capital. Please proceed with your question.
Gerry Sweeney: Good morning, Jayme and Mike. Thanks for taking my call.
Mike McCann: Good morning. Thanks, Gerry.
Gerry Sweeney: Question on ODR. Hopefully, I can ask this the right way. When you're looking at existing customers, where are you in terms of hitting that truly, we'll say, trusted adviser level as opposed to getting into the maintenance contracts and developing that relationship. I'm just trying to see where you are in terms of existing customers and growing into that sort of long-term goal or target with them?
Mike McCann: Yeah. I mean, we've got a long way to go and maybe the best way to do this is to kind of go back to the example that I covered in the prepared remarks. That's kind of a perfect example where we're at. We've got that hospital group in the Philadelphia market. We've been, you know, we had the account and I think our whole objective the last couple of years is, like, let's place resources there, and let's really capture this relationship. Typically, relationships are built on some sort of quick repair work that happens, of some total system failure. And that really starts the spend process going. I think once the spend process happens, then the outlook is how can we avoid these out situations in the future? How can we proactively build capital plan? So I would say most of our customers are kind of a perfect example of that. We've started to really see the recurring revenue start to come in, the OpEx type work. I think the outlook, I think, as we go deeper into the year is how can we get to the point where we're starting to plan those budgets?
Gerry Sweeney: Got it. How does the environment sort of play into that in terms of like availability of skilled technicians, etcetera? I mean, it feels as though there's less and less maybe people available in that space and systems are becoming more and more complicated. I mean, does this sort of play into this maybe longer theme of you being a trusted adviser?
Mike McCann: Absolutely. You know, our labor story is a lot different than a lot of other companies in the E&C space. Our field labor has shifted from production-type labor to super specialized labor. And obviously, even from a productivity perspective, the dollars per hour of our labor has gone up significantly from a profitability perspective and obviously from a cost that we've been able to pass that along. But that's been our focus is having super technical people that take care of these customers, understand complex systems, and a lot of times, in many cases, the owners can't work on these systems. They need us to come in and help them and advise them. I mean, always through these critical repairs, and complex issues is when we really start to develop that relationship. So I think our specialized labor is important now and will continue to be important in the future. Just our approach of how we've gone to existing building mission-critical spaces that's gonna play really well, I think, into our future.
Gerry Sweeney: Got it. And one more. Obviously, I mean, ODR has been great. I don't want this to come out in any other way. But is there a way to even speed this up to get deeper penetration, invest more in account managers, etcetera? And I think there's probably even the ability to spread more services across more branches just how does that play out in the next couple of years in terms of growth?
Mike McCann: Yeah. So a couple of things. One thing is we've learned that this strategy takes time. And I think it's not necessarily easy entry for people that are not focused on existing infrastructure. It takes three, four years. So it's a very, I think, building block type strategy and you've gotta earn that trust. Just because you've done a large construction project doesn't mean that they're gonna have you start working on the existing infrastructure. It's taking us three to five years to get to that point. So I think going forward, you know, our growth profile kind of looks like this. Locally, we want to get to the point where we start to penetrate those capital planning budgets. Co-authoring, authoring. So we got a lot more visibility in the future, and we're able to have a nice mix between OpEx and CapEx budget. The other piece of it is our whole goal from an acquisition strategy and from an organic location strategy is to get on the same integrated platform. Both from a systems and a strategy perspective. So over time as we develop footprint, we're gonna be able to be a national provider, some of these large spend type customers, national customers. That's another area that's gonna start to accelerate. That allows us to sell capital projects on a much larger scale and to kind of leverage the local and type national type relationship. I think that's when things really start to take off.
Gerry Sweeney: Got it. Super helpful. Okay. That's it for me. I appreciate it. I'll jump back in queue.
Mike McCann: Thank you, Gerry.
Operator: Our next question comes from the line of Brandon Rogers with Stifel. Please proceed with your question.
Brandon Rogers: Thanks. Good morning, everybody.
Mike McCann: Good morning. Good morning.
Brandon Rogers: Wanted to ask kind of a clarifying question here on the first quarter. I think you guys said flat revenue Q1 2025 relative to Q1 2024. Did I hear that correctly? And was that an ODR comment, or is that a total revenue comment? Any clarity there would be helpful.
Mike McCann: We specifically said it'd be similar to Q1 of 2025 would be similar to Q1 of 2024. If you keep in mind, in Q1 of 2024, we did have $2 million of a write-up in that quarter. So just kind of top line, bottom line, we expect it to be similar.
Brandon Rogers: Okay. And that's total revenue?
Mike McCann: Yes.
Brandon Rogers: Okay. That's helpful. Thanks. And then I guess, can you help us with I guess, what gives you guys confidence in reaccelerating growth here later in the year?
Mike McCann: Yeah. It's a similar pattern that we've seen. There's a good degree of seasonality that happens within the business. I think that piece of it I think the other part of it too is obviously getting our mix to the point where now we're starting to see that owner direct revenue start to translate to top line where a pass we've been kind of holding back that total revenue. I think the other piece factor is obviously factoring the two acquisitions as well too. So it's a combination of maybe the three of those things working together. Really we feel the confidence from that perspective.
Brandon Rogers: Okay. That's helpful. And then question on GCR gross margins in the quarter. They were notably better than we were expecting. Is there anything that was more one-time in there? I know you guys mentioned some net material write-ups, gross profit write-ups. In the release. That have anything to do with driving the GCR margin in the quarter?
Mike McCann: Yeah. Our GCR, a lot of it depends on what works that's being executed and being finalized within that quarter. Obviously, we have been super selective and I think that has helped us tremendously as well too as well. Trying to obviously, we derisk these projects as much as we can.
Jayme Brooks: Yeah. And then on the GCR side, we did have about $2.9 million of a write-up within the quarter itself in Q4. That did hit those margins.
Brandon Rogers: Okay. That's helpful. And then wanted to ask about your kind of account manager hiring plans this year. Are you guys planning on continuing to add folks at this point? And how should we be thinking about that impacting your SG&A for 2025?
Mike McCann: Yeah. We're still in investment mode. From an account perspective. You know, it's every year, we're always looking to figure out how can we continue to accelerate that growth from an owner direct perspective as well too. And part of that is obviously making sure that we have enough people on these accounts. So our strategy has been very different than others. Our focus on existing building, aging infrastructure, making sure that we're on the account every single day is really important. The specialization of our labor, I think, as well too. And then really building that long-term plan as well too. So we want to make sure that we're at the accounts as much as we can to capture relationships and make it as sticky as possible as well too.
Brandon Rogers: Okay. And then maybe pivoting a little bit, thinking bigger picture here. Can you talk about the opportunity to grow your MSA count in about 20 MSAs today. Where can this go over time? And is that primarily gonna be a function of M&A, or is there an opportunity to greenfield here as well?
Mike McCann: Yeah. We have a lot of footprint. Just if you looked at our map, you know, there's at least 20 or 25 plus type MSAs that we could be in that are great markets for us as well too. I think about where we are in the middle of the country from an industrial manufacturing. We're really just starting to take a look at being able to capture that. So I think a good chunk of it will come from M&A. Every once in a while, if there's a customer that wants us to be in an area we have the talent in place, they want to be in the area, we have in the past done organic startups, but I would say the majority is gonna come from an acquisition perspective.
Brandon Rogers: Okay. That's helpful. And then I think last one for me. Can you just remind us how much data center exposure do you guys have? Where is that exposure? How much of that is new construction related? And how are you thinking about the long-term opportunity in that market?
Mike McCann: Yep. So from a, again, we're very different from a data center perspective. About three years ago, we essentially in one of our locations, we were building data centers and we basically turned the faucet off and stopped building those data centers, which our location at the time was wondering what we're doing. So from a new construction perspective, we two or three years ago, we stopped from that perspective. So our data center work that we have is existing building data center work. Existing infrastructure, there's only a couple markets that we're even able to take advantage of that Columbus and a little bit in the Northern Virginia market. So it hasn't been a big part of our past. And I think in the future, it's just a matter of watching that infrastructure age and then being a partner for the type of facilities.
Brandon Rogers: Very helpful. I'll pass it on. Thank you.
Mike McCann: Thank you. We have no further questions at this time.
Operator: Mr. McCann, I'd like to turn the floor back over to you for closing comments.
Mike McCann: Thank you for listening today and for your continued interest in Limbach Holdings, Inc. We look forward to seeing many of you at the UBS services conference this week. And at the Roth Conference next week. Hope everybody has a great day. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.